Operator: Good afternoon everyone, and welcome to the Matson Incorporated Q1 2013 Earnings Conference Call. [Operator Instructions] Please also note, today’s event is being recorded. At this time, I would now like to turn the conference call over to Mr. Matt Cox, President and CEO. Mr. Cox, please go ahead.
Matthew J. Cox: Thanks, operator. Aloha, and welcome to our first quarter 2013 Earnings Conference Call. I’m joined today by Joel Wine, Senior Vice President and Chief Financial Officer and by a new addition to our team, Jerome Holland. Joe will be the key point person for Investor Relations going forward and this is Jerome’s very first day at Matson. Welcome aboard Jerome.
Unknown Executive: Thank you, Matt. Before we begin, I will note that slides from this presentation are available for download at our website www.matson.com under the Investor Relations tab. I will also take this opportunity to remind you that during the course of this call, we will make forward-looking statements within the meaning of the Federal Securities Laws regarding expectations, predictions, projections or future events. We believe that our expectations and assumptions are reasonable. We caution you to consider the risk factors that could cause actual results to differ materially from those in the forward-looking statements, in the press release and this conference call. These risk factors are described in our press release and are more fully detailed under the caption Risk Factors on pages 9 to 15 in our 2012 Form 10-K filed on March 1, 2013 and in our subsequent filings with the SEC. Please also note the date of this conference call is May 6, 2013, and that any forward-looking statements we make today are based on assumptions as of this date. We undertake no obligation to update these forward-looking statements. Also, references made to certain non-GAAP numbers in this presentation, a reconciliation to GAAP numbers and description of calculation methodologies is provided in the addendum. With that, I will turn the call over to Matt and Joel, who will take us through the key highlights of the first quarter of 2013 and an updated outlook for the full year. Matt?
Matthew J. Cox: Thanks Jerome. And thank you to those on the call today. We had good first quarter driven by higher rates in our China Service and better than expected volume in our Hawaii trade. We also benefited from operating an optimal 9-ship fleet for most of the quarter, which led to reduced vessel expenses compared to the 10-ship fleet deployed for the first quarter of last year. And as expected our Logistics segment and our terminal joint venture SSAT operated essentially at a breakeven level for the quarter. As important as our earnings results, we reduced our debt by $18 million during the quarter and have paid down nearly $72 million in the 3 quarters since separation. The debt pay down reflects our ability to consistently generate high levels of cash from operation. Due to these solid first quarter results, we've shifted our outlook slightly higher for the full-year more on that later from Joel. Turning to Slide 4. We present our first quarter EBITDA earnings per share and earnings per share from continuing operations. As you can see here, we have meaningful improvement across all 3 of these metrics as compared to last year. In the first quarter of 2013, EBITDA was $36 million, an $11.2 million increase from the first quarter of 2012. Earnings per share increased significantly from $0.09 last year to $0.20 this quarter -- excuse me, $0.21 this quarter, even while the first quarter of 2012 included some gains on discontinued operation. Diluted earnings per share from continuing operation have more than quadrupled on a year-over-year basis and net income rose substantially. As most of you know, the first quarter of the year is typically our slowest quarter in terms of volume and thus earnings impact. I feel like we’re off to a good start for the year. Turning now to our individual service lines. Container volume in our Hawaii Service was up by 5.5% on a year-over-year basis and auto volume increased significantly. The uptick in Hawaii container volume was driven by 3 factors: an increase in eastbound activity that impact all cargo from Hawaii to U.S. Mainland, modest market growth, and gains in our head haul westbound trade. The Hawaii economy continues to improve in part by strong growth and visitor arrivals that leads to lower levels of unemployment and more consumer spending, and to recent renewed activity in construction. We were also able to take advantage of some competitor capacity adjustments made during the quarter. We operated an optimal 9-ship fleet throughout the quarter and expect to do so throughout this year. Our westbound utilization is approximately 95%. As you may recall, in the first quarter of 2012, we were in 10-ship fleet deployment due to scheduled drydockings and also had higher outside transportation costs as a result. Looking to the full year of 2013, we have shifted our expectation from modest volume gains to moderate volume gains for the Hawaii trade, in line with an expected general improvement in the Hawaii economy and the solid quarter already behind us. However the eastbound trade has historically been volatile for us, so we’re hesitant to forecast continued gains in the eastbound carriage for the balance of the year. Likewise, market gains fluctuate depending on specific customer activity, competitive sailing schedules and other factors. Slide 6 details some of the key metrics of the Hawaii economy based on recent forecasts from the Hawaii Department of Business and Tourism, and the University of Hawaii. In short, both groups have tempered their forecasts from those published late last year. The state forecast lowering expected real GDP and visitor arrival growth slightly in 2013. That is, while we are seeing many new projects on the drawing board, we don’t expect to see much of that translate into a meaningful increase in freight volume in 2013. It’s more likely to be in 2014 and beyond. Other economic metrics continue to look good. The next slide shows results for SSAT, our terminal operations joint venture. Historically, the contributions from this investment have been strong, peaking in 2010. In addition to the economic impact, the joint-venture operations are an essential element of our service capabilities. The dedicated terminals SSAT operate provide a distinct competitive advantage for us in on-loading and offloading our vessels. Performance at SSAT has been negatively affected since 2010 peak levels by significantly reduced lift volume due to the last year’s customer losses. This customer loss is expected to negatively impact results throughout 2013. Overall, West Coast port volume was up by 4% in the first quarter according to some industry reports, so we definitely have some work for us to do here. We expect that SSAT will operate at breakeven level for the year, we continue to work closely with our partners on expense controls and expanded marketing efforts. Over time, we expect SSAT will return to historic performance levels, in line with overall market activity. Turning to our Guam Service on Slide 8. Container volume declined by nearly 5% in the quarter on a year-over-year basis. The decline was due to lower levels of shipments from the U.S. military and also to a slight decline in the overall market activity. Late in the quarter, we began to see a drop in military shipments and it’s unclear whether these were related specifically to cuts in the military or simply uncertainty around any potential future cuts but we definitely see muted economic activity moving forward. Therefore we continue to expect flat volume levels in Guam versus 2012 and this assumes that no new competitor enters the market. In the first quarter, our China Expedited Service continues to perform well driven by much higher year-over-year freight rates and continued strong volume demand for our expedited offering. As a reminder, because about half our China business is under annual contract, and the other half spot rate, we do get the benefit of rising freight rates on this portion of our business. During the quarter container volume was up 3.6% due to the sailing scheduled at year end 2012 that fell into early January 2013. For the full year 2013, we expect container volume to approximate 2012 levels. The chart on the upper right depicts the Average Shanghai Containerized Freight Index spot rates by quarter and you can see the significant year-over-year increase. Now as a reminder these are not Matson’s rate, but the chart does provide a good snapshot of the rate direction in the market. And as you may know, Matson generally commands a premium to these rates due to our expedited service. We recently concluded our annual contracting cycle, and for the second year in a row, carriers failed to achieve any increase in freight rates. Matson achieved a small increase in our contracted rates. However, we do not expect spot rates to equal the same levels as in 2012, due to capacity overhang. We expect average rates, that is the blending of our contract and spot rates, to erode modestly on a year-over-year basis. Turning now to Logistics on Slide 10. We operated at essentially break-even during the first quarter. Volume in the intermodal and highway business grew at a healthy pace in the quarter, but these volume gains were offset by declines in warehouse operations and international intermodal margins. Some cost cutting measures we instituted in 2012, however, provided lift that ultimately led to a flat year-over-year result. The chart on the upper left details the year-over-year growth in the intermodal volume as reported by AAR. As you can see, there was an uptick in volume during the first quarter of 2013 and we are optimistic that the industry will continue to show volume strength. Due to expected continued volume growth and ongoing expense control, we expect that our operating income margin for the year will be 1% to 2% of revenues. And with that, I will now turn the call over to Joel for review of our financial performance and outlook for the second quarter and the balance of the year.
Joel M. Wine: Thank you, Matt. As shown on Slide 11, Matson’s consolidated operating income for the quarter was $18.7 million, as compared to $6.1 million for the first quarter of 2012. As Matt mentioned, the improvement in results was driven primarily by the increase in rates in the China trade, higher Hawaii volume and operating an optimal 9-ship fleet throughout the quarter. First quarter 2013 Ocean Transportation operating income was $18.5 million, an increase of $12.7 million over the prior year for the same reasons. The operating income gains were offset to some degree by higher terminal handling expense associated with higher auto volume and also to increases in general and administrative expenses. The SSAT joint-venture operated at essentially breakeven versus modest contributions in 2012. Likewise, Logistics operated at near breakeven during the quarter and was flat on a year-over-year basis for the reasons Matt described. Looking at our consolidated income statement on Slide 12, total revenue increased by nearly 8% on a year-over-year basis while our operating cost increased by just 4%. One item of note was SG&A expenses which rose by $4.8 million. About half of the increase was attributable to the additional cost of operating as a standalone publicly traded company. The other half of the increase was related to our recent acquisition of the Reef Shipping assets and to IT initiatives and systems upgrades that we’re in the process of rolling out to improve efficiencies throughout our organization. Our effective tax rate during the quarter was 39.5% which is slightly higher than the 38.5% we expect on average moving forward. Our EBITDA for the quarter was $36 million and $180 million on an LTM basis. This steady strong cash flow generation is attributable to improving economic conditions and the relative stability of our core markets. Turning to the next slide on Slide 13. We continue to generate significant levels of cash from our operations which we deploy in a variety of ways. On April 25, our board authorized a quarterly dividend of $0.15 per share. We have a long history of paying dividends while also maintaining an investment grade metric balance sheet. On capital expenditures, our first quarter 2013 maintenance CapEx totaled $6.3 million, with the bulk of this in our Ocean Transportation segment. Additionally, as we discussed in the last earnings call, we acquired the assets of Reef Shipping Limited for $9.6 million in early January. We also reduced our total debt by $18 million during the quarter. Debt paid down has been an important financial priority for us and one in which we have made significant progress over the last 9 months since Matson became a standalone public company. Now turning to the balance sheet on Slide 14. We ended the quarter with total debt of $301.1 million, of which $17.4 million was current. Since the June separation from our former parent company, we have reduced our total debt by nearly $72 million. Our net debt to LTM EBITDA leverage ratio was strong, at only 1.61 at quarter end. Our cash balances were $11 million at the quarter and have returns at the low end of our normal range of $10 million to $12 million per quarter. Turning to Slide 15. With a solid first quarter in hand, we have shifted our outlook for the full year slightly higher. We expect Ocean Transportation operating income to improve modestly for the balance of the year on a quarterly year-over-year basis. Although we note that there may be some variance in comparative quarterly performance. We also want to note that in the second quarter of 2012, we operated in the 9-ship deployment throughout the quarter, so we will lose that comparative benefit on a year-over-year basis in this upcoming second quarter of 2013. On volumes, we now expect moderate versus modest increases in Hawaii volume and flat Guam volume. In China, while we did achieve a small increase in annual mainland contract rates. We do not expect spot rates to reach 2012 levels and therefore, we still expect a modest erosion of China freight rates in total for the year. For Logistics, we continue to expect operating income margins to improve 1% to 2% for the full-year, driven by volume growth, expense controls, and improving warehouse operations. Maintenance capital expenditures are expected to be approximately $30 million for the year, exclusive of any new vessels or CCF deposits. This is lower than last year's $38 million of CapEx and well below our long-term average maintenance CapEx spend levels of approximately $40 million to $50 million per year. As a reminder, any deposits we might elect to make into the Capital Construction Fund related to our vessel re-fleeting plans will have the effect of differing the company’s tax liabilities and consequently cash tax payments. With that, I will now turn the call back to Matt for closing remarks.
Matthew J. Cox: Thanks, Joel. We continue to be optimistic about our current operations and prospects. As the construction cycle in Hawaii rebounds, we expect to see volume materialize. Our Logistics business and our joint venture terminal operations are well positioned for the eventual recovery in the U.S. economy. And while economic activity in Guam is muted, we are performing well there as the slow ocean carrier to and from the United States. The soundness of our businesses together generates strong earnings and cash flow, which has allowed us to reduce our debt level significantly. And finally, we are focused on continuing to operate to high-levels of performance while also capitalizing on the growth opportunities we see ahead. And with that, I will turn the call back to the operator and ask for your questions.
Operator: [Operator Instructions] And our first question comes from Jack Atkins from Stephens. Please go ahead with your question.
Jack Atkins - Stephens Inc., Research Division: So I guess to start-off, if we can -- if we could maybe began just kind of looking at the sort of outlook for construction demand from Hawaii for the remainder of 2013. Matt, I know we talked about or you addressed in your opening remarks about some positive indicators out there in the market, but it doesn’t sound like you expect that to really have a follow through on demand until 2014. Could you maybe talk about sort of what’s delaying that impact to sort of your business and what do you think will ultimately sort of get that over the hump, if you will?
Matthew J. Cox: Sure. I can do that Jack. There were 2 or 3 factors, you will recall that our year-end call, we talked about this improving construction environment and to us we believe that -- and we continue to believe that the outlook remains very strong, there's a number of projects that are in various stage of planning, construction, permitting, financing, and actual construction. But for example, much of the activity is in multi-story or high rise in Honolulu, at least the early phase of the cycle. And early phases of the construction of those projects typically are commodities that we don’t carry. Steel rebar and construction are generally commodities we don’t carry. It’s a little bit later in these projects where we ship more of the activity. And so that’s why we were a little bit more cautious in saying while we see good amount of momentum around that cycle, it’s not going to materialize for us as cargo on our ships until 2014. We’re going to see a little bit of that at the very end of 2013. So for example in the first quarter, we saw maybe 1% or 2% growth in that segment, that is the construction and building material segment, so relatively small so far.
Jack Atkins - Stephens Inc., Research Division: Okay. That’s really helpful Matt. Thank you for that color. And then when we look at the China CLX business, just sort of curious, given your outlook for rates there for the remainder of the year, has there been any thought to maybe moving more towards more contract versus spot, if I recall, it’s about a 50-50 mix historically. Just kind of wondering how you guys think about that internally when you go through a bid cycle like we just had.
Matthew J. Cox: Yes. I mean, you’re right Jack, we have historically tried to have a mix of our portfolio between annual contracted freight as spot rate. Part of the reason for that is, the contracted freight comes in handy during the slack times of year, of course during the peak, you could fill your ship with spot cargo only, but then I think you would struggle during the weaker time, or at least see more rate volatility. And so for us it’s all been around risk management and portfolio management of the vessel. So, I think our view is that, that percentage around 50 will go up or down based on market conditions. And so, there really isn’t much more to say than that. We don’t expect to hit the spot rates in the peak season that we saw in 2012 and 2013. And while as I said, we did take a small rate increase on our contract business, obviously, we expect the spot rates to fall more than the contract rate increase we got.
Jack Atkins - Stephens Inc., Research Division: Okay, great. And then last question from me, and then I’ll jump back in the queue. It's on the M&A environment. We’ve heard of some other Jones Act properties that may be for sale right now. And I know from what we’re hearing, it may be a little bit out of your sweet spot. But just sort of curious how you guys think about M&A of other Jones Act properties that may not be containership type properties; just sort of curious how you think about that? Would you have any interest in maybe a non-containership Jones Act acquisition?
Joel M. Wine: Yes, Jack, it’s Joel. I’ll take that. From an M&A perspective, our core focus is on our core capabilities in ocean freight itself. So you saw us do the transaction down in the South Pacific and if some Jones Act opportunities came up in our core ocean business, those would be first priority. And while acquisitions aren't our focus right now in our Logistics business. We maintain a focus of acquisition awareness for Logistics. So those will be our core areas of emphasis. But to answer your question about other Jones Act categories, there is no question we watch that market closely and we will be developing over time, we’ll have point of view on different Jones Act markets. And so over the long haul, could you see Matson potentially invest in other Jones Act categories? Yes, you could potentially see that over time. But it’s not going to necessarily be our first priority because we are not in those businesses today, but we do watch those markets very closely.
Operator: Our next question comes from Steve O’Hara from Sidoti & Company.
Stephen O'Hara - Sidoti & Company, LLC: Can you just -- going back to the eastbound expectations for that volume? Your updated expectations, are you assuming that eastbound activity kind of falls off and goes back to let's say normalized levels or are you expecting elevated levels going forward?
Matthew J. Cox: Yes, I mean I think what we’re saying Steve is we’re just not sure. What we know is that, just because one quarter appeared strong as it did in the first quarter, we’re not ready to make a call to say it’s on an ongoing basis. So internally, we’re expecting it to revert to more historic levels, but again, it’s been a little difficult to forecast. But that’s our view now, we’re just putting some caution on volume growth sustaining at the first-quarter level.
Stephen O'Hara - Sidoti & Company, LLC: Okay. And I mean, was that why the autos picked up so much, was that rental car activity or something?
Matthew J. Cox: Yes, that’s unrelated to the containerized eastbound shipments. But yes, and typically what will happen is, there tend to be peak periods when the rental car companies are renewing their fleets. That is, they’re bringing new cars over, westbound, and once those are in place then they do a de-fleeting in Hawaii and return them to the U.S. to be sold in wholesale markets on the Mainland. So we saw a lot of activity during the quarter for the auto volumes, unrelated to the dry container eastbound cargo.
Stephen O'Hara - Sidoti & Company, LLC: Okay. And then I guess if you could just talk about the Honolulu Rail, where that stands, what your expectations are for that? And then maybe I think you noted your utilization was about 95% on westbound. Where's kind of the sweet spot for that, what’s high where you have to start bringing capacity on, and your thoughts there?
Matthew J. Cox: Okay. First on your question on Rail. The Rail project itself was delayed or put on hold while the project itself had to do excavations for burial remains. And those remain findings and survey work is now completed and the project is re-mobilizing. And our view there is there had been quite a bit of cargo that was moved before the project was put on hold, and so there continues to be a fair bit of cargo, or product there to resume construction. So we don’t see it being a significant needle mover in 2013 volumes again it’s more of a 2014 impact but it is encouraging that the project is back on and gaining momentum again. As it relates to your second question about vessel utilization, and we're at 95%. There isn’t a hard and fixed line but I would say you get up to the 97%, 98% and you find it difficult to meet the cargo demand. And what you find is that, of course, it doesn’t come in nice even streams that are aligned exactly for our sailing schedule. And we will spend some time and some money managing the freight to accommodate on our vessels, we don’t expect this year to need to break into a 10-ship, and if we did, it would be for only a very short time, let’s say 1 month or 2 and then we will revert back to a 9-ship deployment. But at this point our view is that, based on these moderate gains in growth in Hawaii, we believe we should be for the most part be able to accommodate it within our 9-ship fleet.
Operator: Our next question comes from Kevin Sterling from BB&T Capital Markets.
William W. Horner - BB&T Capital Markets, Research Division: It’s actually William Horner on for Kevin. If we could talk about your guidance outlook a little bit. I don’t know, you've mentioned the word modest and moderate growth, kind of for the rest of the year. Obviously in Q1 that profitability clip is pretty strong, it was about $12.7 million to $13 million year-over-year and so for the rest of the year, when we think of moderate to modest profitability, are we thinking more couple of million bucks a quarter? Obviously it’s going to fluctuate like you said in this quarter you had the benefit of the 9-ship fleet and that’s going to end next quarter but just trying to get some more color around your outlook.
Joel M. Wine: Sure. Sure William. If you look at -- we’re speaking to the operating income for Ocean Transportation when we use those words. And so for instance, if you look at Q2, Q3, Q4 last year on a quarterly basis were around $31 million, $32 million, $33 million on Q2, Q3, and then $26.7 million in Q4. So when we say up modestly, up moderately, we are talking about maybe $1 million or $2 million-ish type numbers per quarter. It may fluctuate, because there is different comparisons on a year-over-year basis, so it may fluctuate a little bit, but on average that's the order of magnitude we’re talking about.
William W. Horner - BB&T Capital Markets, Research Division: Okay, great. Joel, that’s great color. I appreciate that. And going back, sticking with Hawaii for a second. Autos were pretty strong this quarter, did you all catch a rental replacement cycle, or what was going on with Hawaii autos?
Matthew J. Cox: I'll take that one. William, this is Matt. Basically what happens each year is that because the major holidays fall around a quarter, you can see significant volatility on a quarter-over-quarter basis. We do over an annual period, though, see a lot less volatility. While it seems that depending on a number of factors for rental car companies, their re-fleeting, de-fleeting takes slightly different time each year. We don’t expect those numbers to be sustained at that level moving forward.
William W. Horner - BB&T Capital Markets, Research Division: Okay. Thanks Matt. One more and then I’ll turn it back over. The China and transpacific trade, the trade rags recently talked about a cascading effect of tonnage being dumped into the transpacific with the onslaught of new builds coming on. And I know with your rate outlook for this year you expect a little erosion and some competitive pressures, but in terms of your market share in your niche offering, I would assume that you all are still pretty well positioned and customers are still focusing on that quick service that you all are offering?
Matthew J. Cox: That’s right, William. We continue to expect for the year essentially for our vessels to remain full between now and the end of the year. And it’s clear that we provide a very unique service offering and we will -- and again that’s our expectation from a volume standpoint. From a rate standpoint, it continues to be choppy as you point out because of the cascading of these very large vessels into Asia/Europe that are taking the vessels that are currently deployed in Asia/Europe and put them in the transpacific and other trades. And so I think the overall environment will be over-tonnaged and have a suppressing effect on rates for the balance of the year.
Operator: [Operator Instructions] And our next question comes from Michael Webber from Wells Fargo.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Hey, first of all, congrats to Jerome, and congrats to you guys for adding a pretty well known asset in the shipping space in Jerome.
Unknown Executive: Thanks a lot, Mike.
Michael Webber - Wells Fargo Securities, LLC, Research Division: No problem. I just wanted to kind of zero in on some of the volumes you guys talked about earlier and Matt you kind of addressed this is in an earlier question but I want to make sure I got it right. So that bump in auto is catching kind of the rental cycle that makes sense. The eastbound volumes are not related, that’s containers, can you talk to kind of what goods kind of drove that and what kind of drove that bump?
Matthew J. Cox: Sure, yes, I can. So the big moving eastbound commodities out of Hawaii back to the U.S. Mainland are household goods, there are some bulk commodities of fish, sugar product, there is some waste materials, waste metals and waste paper and other kinds of things. And so I would say the biggest mover was probably household goods that drove that change and again, they happened for reasons that are hard to accumulate or aggregate.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Got you, that makes sense. And then real quickly around the Guam volumes, I think you guys added Reef and you reclassed some other volumes that kind of fall into the Guam category to get a 5,800. I mean you mentioned some modest pressure there I guess going forward. But assuming you don't see any competitor in that lane in 2013, I mean, I guess how much should we add to kind of what we think is kind of steady state there considering Reef and then the reclassed volumes?
Matthew J. Cox: Well as it relates to -- I'll work backwards. As it relates to Reef, we had acquired Reef or we started operating Reef in the middle of January. So that will be sustained at a higher level. The re-class, that you can see from your previous year of those categories, from Yap and Palau, are there for you to see. Those, I would say, are relatively steady, we don’t see any significant fundamental changes in those volumes there.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Okay. I guess kind of moving to bigger picture and you kind of already addressed where you need to be to kind of move to a tenth vessel and to that kind of deployment. But I'm just curious how -- you got some capacity coming online, '14, '15 from a competitor. I’m just curious as to how that impacts that decision longer-term. And then you guys are obviously out in the market looking for -- to replenish your fleet eventually. I’m just curious as to where you think kind of breakeven levels are for newer capacity and what sort of kind of margin advantage that newer capacity may have when it does hit?
Matthew J. Cox: Okay, good yes, good questions. Let me address them in turn. The first question as it relates to the new capacity coming online, one of the 3 competitors in the Hawaii Trade [indiscernible] which operates a vessel every 2 weeks is going to be introducing a second vessel we think sometime in the first quarter of 2014. That’s our current best guess. And part of the question about, first of all, what the deployment is going to be, it’s frequency, where is it going to call, what is its actual container capacity versus railroad capacity? And most importantly how fast the market is otherwise going to grow? Are all going to be factors that are going to weigh into when and how we need to break into a 10-ship from our 9-ship deployment. Matson as we’ve said at the year-end call is hoping to finalize our vessel replacement plans around taking 2 -- acquiring 2 new additional vessels that will replace some of our oldest fleet units. The benefits of that, we'll have more to say about this as we get closer to making the decision, but some of the benefits around the new vessel are clearly it will be bigger, it will operate on a per slot basis with much more fuel efficiency. Like other vessels that have been introduced recently in the Jones Act trades, we are taking a close look at LNG, which does provide potential savings as well and then of course with all the other things about manning savings, about lower maintenance and operating costs. So there is a whole series of benefits that will go into our decision around vessel replacement. So that’s -- we will have more to say about that as we get closer to making that decision.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Excellent. Okay, I guess one more kind of bigger picture question and you kind of touched on a bit already with the cascading effect. But the free rates kind of global year are under a ton of pressure, particularly around kind of Asia, Europe. Asia -- Trans-Pac has been certainly more stable. But you look at your international counterparts, they are under a fair amount of pressure from a pricing perspective. Just curious as to how inflated you think that Trans-Pac market really is. I mean certainly kind of the guidance you guys put out there, and certainly what we've seen in rates is not necessarily indicative of what we are seeing elsewhere in the world. I am just curious, is there maybe a bit more color in terms of how you see that play out through the year, and then if that market really is more insulated, at least through 2013, I know you can’t really kind of speak beyond that. What’s really driving that?
Matthew J. Cox: Yes, I mean, so, I can comment on my views of the general trade and then Matson's place within it. I do think from an overall macro trade perspective, the market continues to be over-tonnaged. There is a question about how much new ordering of even larger vessels is going to take place. And of course, the macro questions about, how quickly Europe is going to recover and how quickly the U.S. economy is going to recover to resume some of the demand. But we continue to believe the supply-demand equation is going to be under pressure, certainly for the remainder of this year, and we’re not going to make a call on 2014, but it certainly looks like it could be a couple of years where this capacity overhang may have an impact on rates. But I think, what’s important to note here from Matson is, at today’s freight rates, at which carriers are struggling to breakeven or even losing money, Matson is doing very well, because of the dual head-haul structure of our service where we leave the West Coast cargo, full of cargo for Hawaii and Guam, and then are able to sail just a few days from Guam to our 3 ports in Central China and fill up with, what is essentially for us backhaul cargo. So even in today’s moving-sideways, relatively negative international environment, for us, it works very well. And so of course, we would welcome an improvement in the international trades and it's a little tough to see when that will happen, but in the mean time I think we’re doing just fine in our service there.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Gotcha. And again, this is not necessarily your bailiwick, but if we just kind of think about the freight rate weakness and aside from what’s been driven by over capacity, and it certainly seems like some of the Chinese lines have become a lot more aggressive on price relative to their European competitors. Is that, I guess pricing aggression outside of just overcapacity issue, I mean are you noticing any of that bleed into Transpac or has it been relatively stable and rational?
Matthew J. Cox: Yes, I mean over the years given my background in the trade, it seems like different carriers at different times are the aggressors. And so I would say some of the aggressors in the market now that will remain nameless are not the Chinese carriers, they're other people. So it’s really interesting and the hope is that the carriers will understand the precarious financial situation they're in an attempt to act rationally. We hope that happens, but that’s why we’re signaling some caution, in case they don’t.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Interesting, great. I’ll follow-up with you on that off-line.
Operator: [Operator Instructions] And I’m showing no additional questions at this time. I’d like to turn the conference call back over to Mr. Cox for closing remarks.
Matthew J. Cox: Okay, operator, thank you and thank you to all of you for listening in today. We appreciate your interest and support and we’ll look forward to speaking with you all on the second quarter conference call. Thank you.
Operator: Ladies and gentlemen that concludes today’s conference call. We do thank you for attending. You may now disconnect your telephone lines.